Operator: Good day, ladies and gentlemen, and welcome to the Sify Technologies Financial Results for Second Quarter and Fiscal Year 2021, 2022. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Praveen Krishna. Sir, the floor is yours. 
Praveen Krishna: Thank you, Holly. Good morning. I'd like to extend a warm welcome to all our participants on behalf of Sify Technologies Limited. I'm joined on the call today by my Chairman, Raju Vegesna; my Chief Executive Officer, Mr. Kamal Nath; and my Chief Financial Officer, Mr. M.P. Vijay Kumar. Following our comments on the results, there will be an opportunity for questions. If you do not have a copy of our press release, please call Grayling Global at (646)284-9400, and they will have one sent to you.
 Alternatively, you may obtain a copy of the release from the Investor Information section on the company's corporate website at sifytechnologies.com/investors.
 A replay of today's call may be accessed by dialing in on the numbers provided in the press release or by accessing the webcast in the Investor Information section of the Sify corporate website.
 Some of the financial measures referred to during this call and in the earnings release may include non-GAAP measures. Sify's results for the year are according to the International Financial Reporting Standards, or IFRS, and will differ somewhat from the GAAP announcements made in previous years. A presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sify's website.
 Before we continue, I'd like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. 
 With respect to such forward-looking statements, the company seeks protection afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of all risks and uncertainties inherent to the company's business.
 I would now like to introduce my Chairman, Mr. Raju Vegesna. Chairman? 
Raju Vegesna: Thank you, Praveen. Good morning, and thank you for joining us on the call. As India is bouncing back from the second wave remarkably, with the businesses reporting near pre-pandemic results, if anything, this pandemic helped us to clearly establish what [indiscernible] can achieve. Through the course of multiple lockdowns, the government set the pace by enabling critical IT infrastructure and following that up with the aggressive adoption of automation for the delivery of welfare services and other services. Similar initiatives have rapidly been adopted by small and medium enterprises, driving the demand for the services, our data center requirements and the network and IT services. That, combined with the geopolitical changes, has made India increasingly attractive to multinational companies -- enterprises as the next destination for all the services. We expect these tailwinds to create new opportunities for Sify. And let me bring our CEO, Kamal Nath, to expand on some of the business highlights for the past quarter. Kamal? 
Kamal Nath: Thank you, Raju. As declared earlier, the creation of the 2 subsidiaries, Sify Infinit Spaces Limited and Sify Digital Services Limited under the parent Sify Technologies Limited was to ensure that we can focus on strategy and investments in line with the evolving market conditions. Our financial results endorse this decision. The decision was timed to the enterprise world's accelerating demand for hyperscale data centers, cloud-based digital transformation services and application modernization, all central to our current services bouquet.
 With the return in market sentiment, we are seeing aggression in customer decision-making in all forms of digitalization. Our cloud@core portfolio of services fits perfectly within this new demand and is increasingly reflected in our current customer engagements.
 In line with the precedent, I would like to expand on the business summary. The business summary this quarter is presented separately for network services, data center services and digital services, reflecting the separate subsidiaries that have been established to focus on each of these business lines.
 Revenue from network-centric services grew by 7% over the same last quarter last year. Revenue from data center services grew by 47% over the same quarter last year. Revenue from digital services, comprising of cloud and managed services, applications and technology integration services, grew by 17% over the same quarter last year.
 The revenue split between the businesses was network-centric services 42%; data center services, 27%; and digital services, 31%.
 Let me now expand upon the business highlights. As part of our corporate venture capital initiative, we have cumulatively invested a little more than USD 3 million across 4 start-ups in the United States. During the quarter, Sify has also invested in procuring renewable energy for our data center in Mumbai to the tune of INR 225 million. Cumulatively, Sify has delivered 74 megawatts of data center capacity as on September 30, 2021. 
 In the quarter, Sify completed the upgrade of its backbone network in the key cities of Hyderabad, Chennai, Bangalore, Mumbai and Delhi. This 4x upgrade to the current capacity can now deliver high-density services for its enterprise customers.
 In addition, Sify completed its Metro network deployment in Hyderabad, Pune, Jaipur, Ahmedabad and Kolkata, adding to our Metro networks in Mumbai, Chennai, Bangalore and Delhi. With this deployment, Sify can make available services up to 100 gig on tap to enterprise customers.
 Sify continues to expand its network coverage and has increased wireless base station density by 23% to deliver high bandwidth to enterprise customers.
 During the quarter, Sify signed a landing party agreement to land a new submarine cable at our Open Cable Landing Station in Versova, Mumbai. 
 A detailed list of our key wins is recorded in our press release, now live on our website.
 Let me bring in Vijay, our CFO, to elaborate on the financial highlights for the past quarter. Vijay? 
M. Vijay Kumar: Thank you, Kamal. Good morning, everyone. Let me briefly present to you the financial performance for the second quarter of the financial year 2021, '22. Revenue was INR 6,986 million, a growth of 18% over the same quarter last year. EBITDA was INR 1,477 million, an increase of 24% over the same quarter last year. Profit before tax for the quarter was INR 461 million, an increase of 11% over the same quarter last year. Profit after tax was INR 356 million, an increase of 39% over the same quarter last year. Capital expenditure during the quarter was INR 1,497 million.
 We continue to stay focused on expanding our data center footprint, along with our network reach and delivery capabilities in our digital services.
 Operating performance continues to be stable. While the economic recovery is a healthy positive sign, we will continue to be vigilant on cost effectiveness, capital allocation and liquidity management.
 Cash balance at the end of the quarter was INR 2,820 million. I will now hand over to our Chairman for his closing remarks. Chairman? 
Raju Vegesna: Thank you, Vijay. The creation of our subsidiaries was intended to enable sharper focus on the individual line of businesses, allow them to pursue independent market strategy. While they will enable their individual strengths, collectively, they will drive our focus to be the first choice of digital transformation partner for enterprises. We are encouraged by the adoption of our services by start-ups, who use technology as their main differentiators. That coupled with the orders from the established enterprises are endorsing the strength of our services offering. 
 Thank you, joining us for this call. And I will now hand over to the operator, the questions. Operator? 
Operator: [Operator Instructions] Your first question for today is coming from Greg Burns. 
Gregory Burns: I'm with Sidoti & Company. It sounds like things are recovering from the Delta surge, the pandemic, this quarter or maybe more recently, but I just wanted to kind of get a feel from you, from what you're seeing from your customers, are you seeing them willing to maybe engage in larger projects, start to spend more? What does the demand picture look like for you? And are you seeing a buildup in your pipeline of opportunities? 
Raju Vegesna: Yes. Greg, this is Raju. Yes. What is we are seeing, customers started engaging and looking at the opportunities what we are seeing, and while we have enhanced our platforms and our services, while the customers are all doing [ in parallel ]. And having starting the discussion, what we see is there may be major projects. This pandemic learning will focus into the -- how they want to face -- I think one of the things we are building as the pipeline of services, we are -- I cannot predict and forecast at this point, but we are engaged. Let me say, we are engaged with some of the exciting projects where -- a lot of the integrated deals across our services. 
Gregory Burns: Okay. And you've done a really good job throughout the pandemic, driving -- managing costs and driving leverage. Now with kind of market activity picking up and demand picking up, do you expect maybe to start spending more to kind of drive that growth? What's your view on spending levels going forward and operating leverage? 
Raju Vegesna: One, Greg, as you said, the demand is coming up. So we are going to continuously investing in our data centers and also network. What -- you've seen that we are expanding our networks, Metro networks. So both on the CapEx side, both on the building more data centers and building more Metro networks, and even [ NLE ] networks. We are going to continuously spending for infrastructure. Similarly, on our services side, as we are -- country is focusing on the digital transformation, we are also going to increase our plans for the digital services adoption, which is very great growth in India.
 So where -- but it doesn't need much more CapEx, but it needs a lot of skills development and hiring more people. So both trends, both on the CapEx side spending for the data centers and the network and similarly, building our capabilities, delivering digital services as part of the transformation, we are going to invest. Hope future is going to be bright and we are done with this pandemic. So hoping that, I think, yes, we are going to invest very aggressively. 
Gregory Burns: Okay. Do you have a target for EBITDA margin? I know it's been over 20%, but would you expect that to maybe step down a little bit given some of the investments you plan on making? 
Raju Vegesna: Currently, we don't have this predictable, what it is. But as we're investing, we are going to balance, right, the investments and the return on the investments, right? 
Gregory Burns: Okay. And then in terms of the data center capacity. I guess you mentioned 74 megawatts of capacity at the end of the September quarter. What's the time frame on bringing new capacity online? Like I think you had set a target for 100 megawatts? Or maybe you can remind us what your target is and the time line on when that would be coming online. 
Raju Vegesna: I don't think we can predict what is the future, but we are going to continuously quarterly increasing the capacity what we showed this quarter. That is we see the continuous growth. And there are certain things we already built. So then we are going to deliver by demand by our customers. And certain things we are building it, and those things will be coming online in the next 12 months or whatever it is.
 And there are certain things that are in design. So we have a plan to deliver what we have in the -- what we build. And there are certain things we are building and certain things we are planning. So what we see is data centers growing a substantial amount in the next few years, in all fronts, all fronts. 
Operator: [Operator Instructions] There are no more questions in queue. 
Raju Vegesna: Thank you. We appreciate your time on this call. We look forward to interacting with you through this year. Stay safe, stay healthy, and have a good day. Thank you. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation. 
Kamal Nath: Thank you, Holly.